Operator: Good afternoon, and welcome to ALFA's Second Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, today's conference call is being recorded. Now I would like to turn the call over to Mr. Hernan Lozano, Vice President of Investor Relations. Mr. Lozano, you may begin.
Hernan F. Lozano: Good afternoon, everyone, and thank you all for joining us today. Further details about our financial results can be found in our press release, which was distributed yesterday afternoon, together with a summarized presentation. Both are available on our website in the Investor Relations section. Let me remind you that during this call, we will share forward-looking information and statements, which are based on variables and assumptions that are uncertain at this time. It is my pleasure to participate in today's call, together with Roberto Olivares, SIGMA's CFO. I will provide a brief update related to Alfa|SIGMA's transformation, and Roberto will discuss SIGMA's results. The second quarter was marked by a pivotal moment on April 7. This was the first trading day of Alfa|SIGMA as a pure-play packaged food company. Over the last 12 months, we have witnessed a substantial improvement in our company's valuation, narrowing the gap against international-branded high-protein food peers. This positive trend has been supported by the complete simplification of ALFA's corporate structure, solid operating performance and rapidly growing recognition as a consumer-focused company. We are also excited to see our full focus on SIGMA being reflected in a formal transition to consumer staples within the Global Industry Classification Standard and an expanding consumer-specialized sell-side coverage. To further highlight our new identity, preparations for a corporate rebranding that will redefine the ALFA name and ticker are well underway. Once completed, we will call an Extraordinary Shareholders' Meeting to obtain the necessary approvals and implement these changes. We look forward to continuing this rewarding journey by raising awareness of Alfa|SIGMA as a highly attractive investment alternative in the global food sector. I will now turn the call over to Roberto to discuss SIGMA's results.
Roberto Olivares: Thank you, Hernan. We're pleased to once again deliver consistent results, driven by the disciplined execution in the current environment of global uncertainty. There is widespread low consumer confidence resulting from various geopolitical issues, and economic concerns affected sentiment. Scale, diversification and business culture have played a key role navigating this year's highly fluid environment. Our multi-segment brand portfolio, multinational footprint, multichannel distribution and global supply chain are some components of our business model that mitigate risk in volatile conditions. Our teams have done a remarkable job of leveraging SIGMA's unique strengths to stay ahead of consumer needs, while adapting swiftly to remain aligned with expectations. The positive sequential momentum observed in second quarter sales, comparable EBITDA and comparable EBITDA margin expansion give us confidence in our ability to overcome short-term headwinds and continue advancing in all regions. Implicit in this positive EBITDA margin trend are targeted actions and core capabilities that enable us to counter higher-than-expected protein input costs, primarily turkey, which is being affected by avian flu. It is important to highlight that turkey price reference in the United States and Europe were more than 50% higher year-over-year during second Q '25 and remain subject to upward pressure. To further illustrate the cost headwinds we have faced this year, our largest region, Mexico, has effectively offset more than $200 million associated with higher raw material costs year-to-date. As reference, this figure is equivalent to 66% of Mexico's accumulated EBITDA. In sum, similar efforts to address raw material cost pressures across all regions have contributed to delivering the second highest accumulated comparable EBITDA in SIGMA's history, $468 million. More importantly, consistent with our full year guidance, we remain focused on sustaining this positive sequential trend into the second half of 2025. Moving on to key highlights by region, starting with Mexico. The region posted an outstanding 12% currency-neutral sales growth with resilient volume, as targeted revenue management actions and other initiatives advanced during the second quarter to address cost pressures. Even so, peso-denominated EBITDA was down 5% versus second Q '24. This was primarily due to softer demand in the Foodservice channel and a product mix impact in other channels. Next, the United States achieved record quarterly volume and revenues driven by national and Hispanic brands, with EBITDA of $56 million, the highest second quarter figure in the [region's ] history. We were pleased to see resilient performance in Hispanic brands despite the rise in immigration-related events during the quarter, which caused certain disruptions in specialty store traffic and operations. This is supported by the growing penetration that our Hispanic brands are achieving across complementary mainstream channels. A final comment related to the Americas. Our Latin America region reached all-time high currency-neutral revenues, driven by volume and prices increasing 1%, respectively. By contrast, EBITDA was down 19% in local currencies, reflecting persistent raw material cost pressures and lagging operational effectiveness relative to other regions. On an absolute basis, most of this EBITDA reduction was concentrated in Costa Rica and the Dominican Republic. Targeted revenue management initiatives and additional margin recovery efforts are underway. In Europe, currency-neutral revenues were flat year-on-year as higher prices offset a 2% decrease in volume associated with the residual effects of the Torrente plant flooding. The temporary plan to distribute production across other plants and trusted co-packers is helping mitigate most of the short-term impact on volume, which is a key area of focus for us to maintain a healthy presence in the market. At the same time, the European team is working diligently with multiple parties involved in obtaining reimbursements for the flood damages and putting together a comprehensive plan to recover the lost capacity in Spain. The second quarter benefited significantly from our progress in the damage reimbursement process. EBITDA included a nonrecurring gain of EUR 68 million, comprised of EUR 56 million for property damages and EUR 11 million for business interruption. In total, we have received EUR 88 million since the unfortunate flooding event in the fourth quarter of 2024. Insurance reimbursements will be the main source of funding for our permanent production recovery projects in Spain. As recently announced, these projects involve building a new packaged meat plants in Valencia with an estimated investment of EUR 134 million and expanding capacity at our most modern facility, La Bureba, with an estimated investment of EUR 23 million. These investments are designed to recover production capacity while reinforcing competitiveness and building upon profitability improvement efforts in the region. Resuming normal operation in Spain is a priority, as is continuing to expand our underlying EBITDA margin in Europe. This concludes my comments by region. Regarding our financial position and select cash flow items, we maintained a strong consolidated net debt-to-EBITDA ratio of 2.6x at the close of the second quarter. Looking at our year-to-date change in net debt. Net working capital and CapEx represent the largest uses of cash. Notably, investments in net working capital decreased significantly quarter-on-quarter, while CapEx deployment accelerated as planned. Lastly, Alfa|SIGMA shareholders received dividends totaling $84 million during the second quarter, which were aligned with dividends paid by SIGMA to ALFA in the same period. As we move into the second half of the year, we remain focused on executing our priorities, effectively addressing higher-than-expected raw material cost pressures, meeting guidance expectations and accelerating the recognition of ALFA's new identity centered around SIGMA. We are excited about the opportunities ahead and remain committed to delivering value for all our stakeholders. Let's open the call for questions. Please, Hernan.
Hernan F. Lozano: Sure. Happy to do that, Roberto. Operator, would you please instruct participants to queue for questions? Roberto and I will take your questions on Alfa|SIGMA.
Operator: Our first question comes from Renata Cabral of Citi.
Renata Fonseca Cabral Sturani: My first one is related to raw material prices. You commented on the release, but I just would like to understand how you see the impact moving forward since many things happened during the quarter, including a change in terms of FX. So it would be really useful if you can shed any color on this. And then I'll make my second question after that.
Roberto Olivares: Thank you, Renata, for your questions. Yes, let me first make the comment about the particular raw materials. As described in my initial remarks, prices of turkey has continued to go up during the quarter, and we do expect that pressure to continue in the U.S. market in the second half of the year. Having said that, we have been increasingly bringing more raw material from Brazil and other regions, and that has also mitigated some of the COGS impact. In regards to FX, it has been the opposite. During the second quarter of 2025, we saw the peso appreciated almost all of the quarter. If the peso continues to be at the same level that we are right now around MXN 18.50, we do expect to have a decrease in COGS in the second half of the year. Let me just mention that particularly in the second quarter P&L, we do have some higher cost inventory that was bought at a higher FX. We expect that to be consumed, all done in maybe the first months of the third quarter.
Renata Fonseca Cabral Sturani: Awesome. That's really, really helpful. And for the second question, I would like to ask about specifically Mexico, we saw in terms of top line and margins for this quarter. If you can help us even if qualitatively to say how it is going in the beginning of July or your perspectives for the second half of the year, both in top line and in terms of margins.
Roberto Olivares: Sure. Let me first cover the margin part. Again, as I already mentioned, with the FX at the current level that we are right now, we do expect to have a stronger margin in the second half of the year. In regards to top line, we have been very cautious about the price increases that we have done recently. And let me split the business in 2. For the retail business, top line has been solid or has been resilient. It depends on the category, but in some of the categories, we're getting some volume growth. In others, we're resilient or flat. In regards to Foodservice, particularly in Mexico, we see softer hospitality dynamics coming mainly from tourism in some of the tourist places in Mexico. We're working or our main focus right now is to gain some volume momentum in the Foodservice to recover some of that volume.
Operator: Our next question comes from Ricardo Alves of Morgan Stanley.
Ricardo L. Alves: Very strong indeed top line in Mexico. I was wondering, the 12% pricing, can we zoom into that and perhaps talk about the component of pricing and mix, just so that we can understand how we can think about unit revenue as we go into the second half? And then on top of that, I just wanted to ask a follow-up on Mexico margins into the second half related to the question that Renata was asking, just to make sure if I understood correctly. Because if we have this scenario of a very resilient top line performance in Mexico, and then at the same time, the Mexican peso has been more supportive, is it indeed the case that we could expect the margins to improve significantly from here in Mexico, assuming that the top line remains resilient? So the first part of the question, just to get some more color on the 12% on the unit revenue front. I know that we have been discussing the channel exposure traditionally being more, more relevant. So just trying to separate a bit what is pricing, what is mix, that would be helpful. And then how we think about margins into the second half? And my last question into the U.S., the performance of SIGMA in the U.S. had surprised us to the upside over the past couple of quarters really. But when we look at the very marginal information on scanner data, we noticed a deceleration. We noticed, for instance, particularly in France that private label has become more relevant. It's growing in the double digits. So I just wanted to get some color into the U.S., maybe more specifically in France, if you are seeing the consumer that is more selective or if you see a pricing environment that is a little tougher just so that we can get your perspective for the next couple of quarters. Or if maybe just this is just a one-off and you do have some strategies in terms of pricing to make [indiscernible] this eventual more price-sensitive consumer in the U.S. in the second half.
Roberto Olivares: Thank you, Ricardo, for your question. Let me go one by one, the first one relating to pricing in Mexico, the 12% increase. You asked about the components of that pricing. Let me first say that, obviously, the 12% increase is an average of the region. If you see first by channel and then by different categories, we have increased for some categories and for some channels, a significant amount. So particularly all those products related to turkey, we have had the price increases more than 20%. In the case of Foodservice, and that's also another reason why volume has been a little bit more soft in Foodservice is because we have increased 16% prices in Foodservice in Mexican pesos. So there's a mix between the different categories that obviously is impacting some elasticity. You talked about pricing and mix. We have seen some product mix impact regarding some of the categories. Given the substantial price increases in some of the turkey lines, we have seen people moving from turkey to pork or even within the same turkey line, people moving from breast to turkey ham since those products are more affordable. There's still -- going to the Mexico margin, although FX, as you mentioned, is at a level that we were not expecting right now, we do continue to see some pressures in the turkey environment in the second half of the year. So it will depend on those pressures and the FX to see if the margin improvement, the sequential margin improvement that we, as of right now, see in the second half of the year, how big is that improvement. But let me just say that we're obviously following very closely the raw material market, bringing product from other regions, trying to reduce the COGS as much as possible and doing some targeted revenue management initiatives to improve the margin for the second half of the year. In regards to the U.S., the first is, you mentioned some data about Nielsen. Let me just mention that Nielsen for us is a proxy. We cover more channels that those are represented on the Nielsen data. The U.S. has maintained a resilient volume. Let me just talk about the national brand business because you talk about France. Quarter-on-quarter, we saw sales of the national brand business increasing 17% on a sequential basis, and that has a lot to do with the promotion that we are right now running in some of our big clients. We do expect that the promotions extend into some months of the third quarter. In regards to France, particularly our position in the U.S. market is that we participate as a smart choice brand for our consumers. So we have -- although private label has penetrated a little bit more on the market, we still own the preference of our consumers in that sector and the retailers are helping us a lot to continue capturing that market.
Operator: Our next question comes from Felipe Ucros of Scotiabank.
Felipe Ucros Nunez: So very strong price/mix in Mexico that was already mentioned, and you broke that fragmentation between price and mix very well. I was impressed with the volumes barely fringed. And that's happening at a moment where there's a lot of concerns about the state of the consumer in Mexico. So I'm wondering if you can just give us some more details around this, perhaps it's an understanding of how these protein categories work and perhaps when you see increases that are as sharp as you saw. You do see elasticity in the category, but it's just that the consumer moves to other protein categories and you just get the volume somewhere else and the mix in your business changes. Is that how it usually works? And then the other side of that question, again, trying to understand the industry a little better. How do you usually behave? Because what we've seen historically in branded food and beverage categories is that after commodities come back down, there are no real immediate price reversals and then you see kind of a margin increase across companies that participate in this branded goods. But in protein, you see very sharp commodity moves. So just wondering if with turkey, let's say, the price comes later on, do you attempt to try to keep that price/mix high? Or how does that usually behave for you guys?
Roberto Olivares: Thank you, Felipe, for your question. Maybe just let me comment that we take a very cautious approach regarding revenue management. There's always a sweet spot in regards to protecting margin for today and in the long term and gaining market share. So we -- there's -- let me say, there's some efforts that we have done to be more targeted whenever when we increase prices affecting maybe the -- some lines, some products that elasticity is lower. And then whenever it's the contrary, whenever, as you mentioned, the cost goes down, take some opportunities to give discounts whenever we see the more value. It's a very coordinated approach between the marketing team, the trade market team, the revenue management team, and we do that in all regions to keep, again, volume strong and to keep margins strong. In regards to the concerns of the state of the consumer, obviously, we take that into consideration whenever we do a price increase because we want the consumer to be there in the long term. We don't -- whenever there's a lot of volatility in raw material or in COGS, there's opportunities for some brands to enter our sector, maybe private label. So we take that a lot into consideration when doing some price increases.
Operator: Our next question comes from of Juan Ponce of Bradesco.
Juan Enrique Ponce Luiña: I have a quick one on Europe. Where do you see the normalized EBITDA margin maybe after 2027 when the new plant is ready? And before that, do you think that we could expect some type of margin expansion next year and maybe in 2027 as well?
Roberto Olivares: Thank you, Juan. Sure. Normalized EBITDA margin for '27, it will be or the expectation will be to be between mid- to high single digits, so around 7% to 8%. That is -- that will happen not only with the ongoing business environment that we have, all the efficiencies that we're looking but also other strategic projects that we're analyzing. Obviously, that also will be -- or will happen, it will normalize the effect of the rebuilding of the plant. For next year, we do expect to have -- if things continue to look as we have seen, we do expect to have a margin improvement versus '25. Let me make just 2 comments. First one regarding branded volume in the region, we have seen volumes, particularly for some of the regions in Spain, for example, that branded volume has increased significantly this year. And the other one, there's -- this year, we have suffered some impact from the Fresh Meat business due to the dynamics of the industry, thus we do not expect to hold that in the long term.
Operator: Our next question comes from Fernando Olvera of Bank of America.
Fernando Olvera Espinosa de los Monteros: Great. I just have one related to volumes. Maybe if you can comment about what is your outlook in the different regions for the second half of the year? And how are you thinking on this compared to your guidance?
Roberto Olivares: Sure. Thank you, Fernando. So volume during this quarter was flat, but that comes mainly from significant price increases in Mexico that obviously has some impact on volume. Europe was 2% below. But if we normalize that versus -- with the Torrent impact is around flat and actually has a 2% increase sequential. And in the case of the U.S. and Latin America, we have positive growth in volume. In the second half of the year of the outlook, we continue to see, let me say, good numbers in terms of volume, I would say between flat and low single-digit growth. It will depend, obviously, if there are some opportunities or the need to increase some more pricing in the second half of the year, that will have an impact. But we see that in general, the dynamics of the industry well. Obviously, there are some concerns about the sentiment, but we have been able to tackle that -- those concerns in most of the regions and have a good and solid results in volume.
Operator: There being no further questions, I would like to return the call to management.
Hernan F. Lozano: Thank you very much, everyone, for joining us today. Please feel free to reach out if you have any follow-up questions, and have a great day.
Operator: This concludes today's conference call. You may disconnect.